Operator: Greetings and welcome to the Myers Industries’ 2014 Third Quarter Earnings Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Ms. Monica Vinay. Thank you, Ms. Vinay. You may begin.
Monica Vinay: Thank you, Melissa. Good morning. Welcome to the Myers Industries’ third quarter 2014 earnings conference call. I am Monica Vinay, the Vice President of Investor Relations and Treasurer at Myers Industries. Joining me today are John Orr, President and Chief Executive Officer; Gregg Branning, Senior Vice President, Chief Financial Officer and Corporate Secretary; Joel Grant, Senior Vice President and General Manager of the Material Handling Segment; Alex Williamson, Vice President and General Manager of the Distributions segment. Yesterday evening we issued a news release outlining the financial results for the third quarter of 2014. If you have not yet received a copy of the release you can access it on our website at www.myersindustries.com, under the Investor Relations tab. This call is also being webcast on our website and will be archived there along with a transcript of the call shortly after this event. Before I turn the call over to management for remarks, I would like to remind you that we may make some forward-looking statements during the course of this call. These comments are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management’s current expectations and involve risks, uncertainties and other factors which may cause results to differ materially from those expressed or implied in these statements. Further information concerning these risks, uncertainties and other factors is set forth in the company’s periodic SEC filings and may be found in the company’s 10-K filings. I am now pleased to turn the call over to John Orr, President and Chief Executive Officer. John? 
John C. Orr: Thank you and good morning. While our third quarter 2014 performance was certainly disappointing I would like to outline a number of external factors that negatively impacted our sales and earnings performance during the quarter and discuss what we are doing about them. If you could please go to slide three of the presentation. As you can see on slide three U.S. corn and soybean prices are at or near seven year lows which has impacted the sales of agricultural products and caused agricultural companies to decrease their purchases of some of our storage products. If you turn to slide four you will see that there have been significant declines in agricultural, automotive and industrial production in Brazil which contributed to lower sales volumes and margins at our Brazilian locations during the third quarter. Increased demand and driver shortages at shipping companies resulted in higher freight cost during the quarter. And decreased demand for fuel containers due to a shortened summer season for sales of outdoor power equipment negatively impacted Scepter’s performance during its first quarter as part of Myers Industries. We’ve already implemented and continue to implement a number of structural changes, cost cutting and pricing actions to mitigate the impacts of these market conditions. Structural changes will not affect our ongoing sales efforts in either our Material Handling or Distribution segments. Selective pricing actions are being made to ensure we maintain return appropriate share in the current environment. New product introductions and conversions are being stepped up and we are trying to increase sales and production of legacy business to offset the softness in some of our other product lines. While the performance of the newly acquired Scepter business was not as strong as expected in the quarter the integration is going well and we are on track to achieve the $2 million in synergies by the end of the first year of ownership. We are also working closely with the Scepter team in our existing material handling businesses to pursue cross selling opportunities between our businesses and are encouraged by their team work. The soft sales Scepter experienced in the third quarter appear to be more of an anomaly for it and its fourth quarter appears in line with our acquisition model. The sale process of our Lawn and Garden business is continuing as planned and the number of interested parties has been very strong. As we have previously announced we expect the sale of that business to be completed by mid-2015. Please turn to slide five of the presentation so that we can review our financial results for the quarter. Net sales from continuing operations in the third quarter of 2014 increase 14.6% to $162.1 million compared to $141.4 million in the third quarter of 2013. Net sales in the material handling segment increased 25% as a result of the acquisition of Scepter which was completed July 2, 2014. The Distribution segment sales decreased 3.4% year-over-year primarily due to the previously announced closing of the Canadian branches which took place in the first quarter of 2014 and lower custom sales compared to last year. Gross profit margin from continuing operations was 24.7% in the third quarter of 2014 compared to 30.1% in the third quarter of 2013. The decrease in gross margin compared to last year was due mostly to lower sales volumes, the change in the mix of product sold year-over-year and a $2.3 million inventory purchase accounting adjustment that was recorded as a result of the Scepter acquisition. Reported income from continuing operations for the quarter was a loss of $3.6 million or $0.11 per diluted share compared to income from continuing operations of $6.8 million or $0.20 per diluted share in the third quarter of 2013. Reported income from continuing operations for the third quarter of 2014 included acquisition-related cost of $5.2 million, a reserve of $3 million related to an award of attorney fees in connection with the patent infringement lawsuit and other non-recurring costs of $800,000. On an adjusted basis, which excludes restructuring costs and other special items like those I just mentioned our earnings per diluted share from continuing operations in the third quarter of 2014 were $0.07 compared to $0.21 in the third quarter of 2013. I’d now I’d like to turn the call over to Gregg Branning, our Chief Financial Officer who will provide you with further details regarding our financial results. Greg?
Gregg Branning: Thanks, John. Good morning. I’ll comment first on the overall financial results, summarized on slide five of the presentation, which John has not yet discussed. Selling, general and administrative expenses for continuing operations in the third quarter of 2014 were $42.6 million, compared to $30.3 million in the third quarter of 2013. The increase of $12.3 million was primarily a result of $2.9 million of transaction costs related to the Scepter acquisition, $6.4 million of incremental SG&A expenses resulting from the acquisition of Scepter and a reserve of $3 million related to an award of attorney fees in connection with the patent infringement lawsuit. Our effective tax rate during the quarter was 31.9%. We anticipate that the effective rate for the full year 2014 will be approximately 37%. Now if you would please turn to slide six of the presentation. Cash flow used for continuing operations for the nine months ended September 30, 2014 was $2.8 million compared to cash flow provided by continuing operations of $29.3 million for the same nine months in 2013. The change in cash flow year-over-year was due mostly to lower earnings and an increase in working capital. We anticipate that full year cash flow from continuing operations will be in the range of $37 million to $43 million. Capital expenditures from continuing operations totaled $10.9 million for the nine months ended September 30, 2014. We estimate that capital expenditures for continuing operations in 2014 will be approximately $20 million to $25 million and more than 65% of that would be for high return growth and productivity investments. During the nine months ended September 30, 2014 we repurchased $48.3 million of our common stock. As has been our approach, management and the Board will continually review the opportunity to buy back shares relative to investments in the strategic growth of the company. We are within our [inaudible] of our credit agreement of a total debt-to-EBITDA ratio of less than 3.25. And future cash flow and proceeds from the sale of our Lawn and Garden business will be used consistent with our balanced approach to capital allocation. Now let’s turn to our business segments and their performance as summarized on slide seven and eight of the presentation. Results are compared with the same period in 2013. I’ll be referencing the adjusted pretax income information by segment as it appears on the reconciliation of non-GAAP financial measures included in the appendix of the slide presentation and in the earnings release issued earlier today. In the Material Handling segment net sales in the third quarter of 2014 increased 25% to $112.3 million compared to $89.9 million in the third quarter of 2013. The increase in sales year-over-year resulted from our acquisition of Scepter. Adjusted income before taxes in our Material Handling segment was $8.3 million for the third quarter of 2014 compared to $12.1 million in the third quarter of 2013. Weak commodity prices led to a decrease in demand for the segment agricultural storage products. The resulting change in product mix negatively impacted the gross margin during the quarter and a change in customer mix and higher freight and distribution costs also contributed to the decrease in income before taxes year-over-year. Net sales in the distribution segment were $49.9 million in the third quarter of 2014, compared to $51.7 million in the third quarter of 2013. Sales decreased year-over-year primarily due to lower custom sales and the segment’s previously announced Canadian branch closures which took place in the first quarter of 2014. Adjusted income before taxes in the Distribution segment was $4.3 million in the third quarter of 2014 compared to $6.3 million in the third quarter of 2013. The change in product mix and higher logistics cost during the quarter contributed to the decrease in adjusted income before taxes compared to the third quarter of 2013. That concludes my financial review. I'll now turn the call back over to John for summary and final remarks. Thank you, John?
John C. Orr: Thanks Gregg. Please to turn to slide nine of the presentation. Looking forward, we anticipate that some of the external factors that I mentioned at the beginning of this call may continue to negatively impact us through the fourth quarter resulting in a decrease in adjusted earnings from continuing operations in the second half and full year 2014 versus the same periods in 2013. However we are working hard to offset these impacts through a number of actions that are focused on growing sales and further reducing cost. I understand there may be some concern on the part of our investors with the third quarter results. However we remain optimistic about 2015 and our [inaudible] growth opportunities as we continue the previously announced [inaudible] these industries, [inaudible], operating to focus on higher mark, higher return segment. Have we dropped off?
Operator: Go ahead we can hear you.
John C. Orr: Okay, sorry we have an incoming call for some reason we thought we had dropped off. We're positive that the historical returns of the Material Handling segment along with the addition of Scepter will ensure higher investor returns going forward. Once we complete the divestiture of the Lawn and Garden business we plan to hold an Investor Day to discuss and provide more detail about growth, capital allocation and future strategy. That concludes management's presentation. I'll turn it back over to Monica so that we can take your questions.
Monica Vinay: Thanks John. The operator will now direct the Q&A phase of the presentation. As a reminder in addition to John and Greg we also have Joel Grant, the Senior Vice President and General Manager of the Material Handling Segment; and Alex Williamson, Vice President and General Manager of Distributions on the line to answer questions.
Operator: Thank you. At this time we will be conducting the question-and-answer session. (Operator Instructions). Our first question today comes from the line of Adam Josephson with Keybanc. Go ahead with your question please.
Adam Josephson - Keybanc Capital Markets: Thanks, good morning everyone.
John C. Orr: Good morning.
Adam Josephson - Keybanc Capital Markets: John with respect to share repurchases, would you expect -- would you consider stepping up your activity given the recent weakness in the stock including today the stock is down double digits. And then how much room do you have to do so at the moment, both in terms of liquidity and in terms of your net debt-to-EBITDA ratio?
John C. Orr: Yeah Adam, this is John. We've been a very active repurchaser of shares so far this year. And we currently have about 4.9 million shares available. We have said that we've take a balanced approach to capital allocation which means returns to shareholders as well as spending capital for growth in the business. As you know our objective is to go from four disparate businesses to two, not disparate businesses, but two businesses, the higher margin operating businesses, that's going to require some growth. So we will certainly take a look at opportunities for share buyback. I don't why -- sorry about that folks. And so that really is something that we still have to consider whether we can step up the purchases at this time.
Gregg Branning: Adam this is Gregg. Also with respect to your question, at the end of the quarter we had a $118 million of liquidity available to use for whatever purpose is necessary. Again as John said we'll continue to look at our balanced approach -- balanced allocation approach to cash.
Adam Josephson - Keybanc Capital Markets: Okay, thanks Gregg, thanks John. And John in terms of the outlook for next year, I know you have dealt with a number of issues this year, Brazil’s economy being weak, corn and soybean prices being weak, both in the US and Brazil, freight and distribution cost being higher, you had the issue with Scepter. Can you talk us through what specifically you think will be different next year and which of these things you consider anomalous if not all of them?
John C. Orr: Yes, let’s start with Brazil. I think everybody knows the situation, the political situation in Brazil. There was just a finalization of an election over the weekend. I guess unfortunately there was not a real business friendly candidate who won and therefore if you look at the Brazilian [inaudible], it went down dramatically, the Brazilian reais degraded in value. However we think and from what our folks on the ground there tell us that there has to be some economic changes made and that this President, Dilma Rousseff is willing to do that. I think the key right now is who she names as her economic advisor. The automotive business there we feel has been stagnant for the last couple of quarters but there is such a pent-up demand. There are new factories being built, especially up in the Northeast. So we think we do have a little bit of an anomaly there and we are expecting next year to be better. Also with respect to the consumption of beer and liquids there, that still seems to be growing although it slowed down but our packaging business there we expect to be fairly strong next year. With respect to Scepter, all of the historic numbers that we have looked at shows that the third quarter appear to be an anomaly. If you think about the special warehouses that most of the big boxes keep for some kind of weather disasters or what have you there really wasn’t anything this year. So there was a build-up of inventory that we think was bled down. When we look at point of sale data we don’t see any degradation in store-over-store sales. We just see an inventory drop. I think also in addition there was a very short season this year, it went on a little bit longer. So if you look at power instrument sales like weed whackers and so on, that was down and generally when you sell that you also sell a jerry can with it. So we are bullish on Scepter for 2015. I am going to let Joel Grant talk a little bit about next year from the agricultural side and kind of what we are seeing and what we are going to do about it. So Joel would you mind?
Joel Grant: Good morning, Adam. We participate into the agricultural segment through a number of channels, some just directly into the farm, some through distribution and Ag. Co-op. We also participate through a number of very large companies with large agricultural segments that include a number of inputs into the farm arena. If you look at some of the announcements that are coming out for those folks you see that they are facing the same kind of headwinds in their agricultural areas and really look for that to continue in the fourth quarter. But as I look out into 2015 while they will start slowly in the year most of them are talking about pretty good 2015. Also we said in on a webinar this past week from [Dawns] who is an analyst of the agricultural industry. Dawns commented on, yes there is some economic impact both on the farm and in the folks that supply into it, but they don’t see this as a farm prices by any measure. Certainly it’s driven by the fall in the commodity pricing and while that came on relatively quickly it can change depending on the growing season next year here, depending on the growing season around the world as export opportunities help lower the pent-up demand, pent-up storage of corn, soybean and some of the other commodities. So looking forward they see some tough months in the short-term, but in the longer term things settle out and look favorable for 2015 on balance.
Adam Josephson - Keybanc Capital Markets: Thanks Joel. Just while I have can you talk about the food side of your business as opposed to the ag side what’s happening there particularly with tomato paste and the record -- what impact if any you saw from the record processed tomato crop in California?
Joel Grant: Well, there was a record crop in California this year, almost 14 million metric tons and that’s up considerably from a year ago, a year that was impacted, as we discussed before by that virus in the Sacramento Valley last year. One of things that resulted from that shortage last year was the continuation of a lot of empty containers and leftover containers from 2013. So with all those containers coming we did not have the effect that we expected but the crop there is a good one. Next year it will turn [inaudible] and how much [rain] can build up over the winter that’s been something that saw a little bit improvement. The water level is still a concern. We will how…
Adam Josephson - Keybanc Capital Markets: Can you hear me, okay.
John C. Orr: Yeah, again we apologize, a number trying to call us.
Gregg Branning: Might be a political announcement, I don’t…
Adam Josephson - Keybanc Capital Markets: She didn’t like what you are saying about her regime, John.
John C. Orr: Oh no, no. Hopefully it wasn’t Dilma.
Adam Josephson - Keybanc Capital Markets: John, just one last one. So you had all these issues in the third quarter. Can you just talk about kind of what underlying all these issues that what fundamental trends you see happening that are favorable such that we should look past what happened in this quarter in the last quarter or two and explain -- talk to us about why you think fundamentally things are on track and what could investors take away from this situation?
John C. Orr: Well I think fundamentally we have a great company at Myers Industries. We’ve got great people. We are on track to make the transition which is a significant transition for this business. We were able to sell our WEK business earlier this year. We are working on selling the Lawn and Garden business. We think that we have got the right players in place. We also think again as I said earlier I think Adam that 2015 should portend a little better for us from the standpoint of business and increased business. We’ve also got a robust pipeline of new products that we continue to push forward. We are going to introduce over 55 new products this year and we feel comfortable about some of the products that are in test, were out in the field at this point that we expect to hit in the first, second, third quarter of next year as well. So again realizing that there is disappointment with the third quarter and nobody is more disappointed than myself and our key management team, we fully think that we have got -- we are pushing the right buttons, that we’ve got the right things that we are doing looking at cost reductions, even going back and going after some of our older legacy business just to make sure that we keep machines turning until the markets do pickup for us. Now some people in some businesses, obviously their business is very strong right now. We happened to get kind of a perfect storm, I think in the third quarter whereas whether it was the agricultural side, the automotive side and what have you we saw some slight degradation there. But I am very bullish about what we are doing, what our plans are. I’m certainly looking forward to our Investor Day where we can really talk about our future thoughts and ideas, our objectives what we are trying to do with this company to enhance shareholder return.
Adam Josephson - Keybanc Capital Markets: Thanks a lot, John. Appreciate it.
Operator: Our next question comes from the line of [Mario Gabelli] with Gabelli and Company. Go ahead with your question please.
Unidentified Analyst : Hey John.
John C. Orr: Good morning Mario.
Unidentified Analyst : How you are doing?
John C. Orr: Good.
Unidentified Analyst : I know you are having a wonderful day today in terms of breaking some of these dynamics, just a -- first how many shares are actually outstanding as opposed to weighted average?
John C. Orr: Outstanding opposed to weighted average, Gregg is going to have to get that.
Unidentified Analyst : All right, while he is doing that, let me ask you, on the process of Lawn and Garden refresh for me who you hired as an investment banker?
John C. Orr: William Blair out of Chicago.
Unidentified Analyst : Are they past the first round of the A list and B list in terms of those that might be interested?
John C. Orr: Yes, we completed -- we completed last week the first round of presentations and visits on site. Those are completed. Within the next several weeks we expect to get more detail, further IOIs and to start narrowing down that process into just a handful of potential buyers.
Unidentified Analyst : All right, can you -- have you share with us and I wasn't on the last couple of calls and I tried to read it, find the transcript. Did you comment on the tax basis of that asset?
John C. Orr: We did not. Gregg?
Unidentified Analyst : Okay.
Gregg Branning: Mario, it's a high tax basis so you won't see any significant gain or loss on sales from a tax perspective.
Unidentified Analyst : Well, I had assumed a certain price obviously.
Gregg Branning: Yeah, that's correct.
Unidentified Analyst : Now, in that context, the concern obviously that I would have is given the unexpected dynamics that occurred in last 90 days across the lot of the board business sectors, if the book went out, how close are you in meeting the EBITDA objectives that were laid out to the investors in the third quarter on the Lawn & Garden business or not the investor but of the book that went out…
John C. Orr: [Sample] buyers, right.
Gregg Branning: Yeah, this is Gregg again. We're actually right on target with that Lawn & Garden business, actually had a good quarter in the third quarter.
Unidentified Analyst : I don't have your Q, would that show up anywhere in the Q in terms of that data?
John C. Orr: You won’t -- you will see the earnings per -- and the income from the discontinued ops, but what I can tell you Mario is on the adjusted earning for discontinued operations, they came in at $4.1 million this year versus $2.2 million last year in the same quarter and we are now headed in the fourth quarter which I think you are aware that the first quarters are typically the best quarters.
Unidentified Analyst : Thank you. Do you have that number of share, actual share?
Gregg Branning: I do, 31.5 million.
Unidentified Analyst : All right and just a philosophical question and then I'll stop. You clearly decided to rejigger some of your businesses to move away from commodity-related customer-related and weather related and then prior to selling it though you bought a company that appears from what I’m hearing is that the challenge were really loaded coming out of last year. I almost argue that they tend to sell us through channels but that's a different issue, was there a reason that -- refresh for me why you sold the -- you didn't sell a business and bought a business first?
John C. Orr: Well we made the decision with the Board to sell the Lawn & Garden business, Mario and of course once we did we had to announce that. We had to get that process going because we knew it would be a long process. It is a specific business and it's almost difficult to get the process going. At the same time the opportunity around Scepter came up and we're still very, very bullish on the Scepter business. We think it's a good business because there is not only opportunities around their jerry can business but also significant opportunities around their military business and some cross selling with our other businesses. So the opportunity was there and we took the opportunity. It wasn't an auction, it was just a straight buy, but it was a good opportunity because the business was going to be sold.
Unidentified Analyst : No, I understand I was just obviously the question I had was John, was the timing issue and thank you very much. I'll get back and listen in. Thank you, see you soon. Take care.
John C. Orr: Thank you.
Operator: Our next question comes from the line of Chris Manuel with Wells Fargo. Go ahead with your question please.
Christopher D. Manuel - Wells Fargo: Good morning gentlemen.
John C. Orr: Good morning, Chris.
Christopher D. Manuel - Wells Fargo: Couple of questions for you. First, I do want to ask one follow-up question on the L&G business just so we can help calibrate a few things. I recognize its discontinued but just if memory serves you did was about $26 million - $27 million of EBITDA on that business in 2013 and you were looking for something in the low 30s here for ’14 with some of your cost saves. That gives us a sense for the run rate its running at last year and then this year will apply our multiples as what kind of proceeds you might get from that, but it gives us a sense as to how it’s progressing?
Gregg Branning: This is Gregg. Your numbers for last year roughly adjusted EBITDA, but you recall when we entered -- finished the first quarter there was a delay in it. So you would [inaudible] savings yet this year. The key is we are [inaudible] in the third quarter as well as see it in the fourth quarter. So we will -- the run rate that they are at, will deliver that higher EBITDA.
Christopher D. Manuel - Wells Fargo: I apologize the phone was [inaudible] was going on, the number you gave -- I’m sorry, the number you gave for ‘13 and then what you were projecting for ‘14?
Gregg Branning: Yes, I didn’t actually give you a projection for ’14. What I was saying was that ‘13 is correct. You will probably recall in the first quarter when they were no longer under discontinued operations we announced that there was going to be a delay in the savings because of some of the inefficiency and that did happen. So in the third quarter we saw the savings and we are on track on the run rate to see the savings going forward. So we won’t see the full saving this year that we had originally announced a year ago but we are clearly seeing the savings and more important from the standpoint of the sales process, potential buyers are seeing that savings in the third quarter as well as we move here into the fourth quarter.
Christopher D. Manuel - Wells Fargo: Okay. So it becomes kind of a ‘15 event then for something that you originally were talking about was, I believe the low 30s run rate.
Gregg Branning: Again Chris, we’ll see some of that yet this year.
Christopher D. Manuel - Wells Fargo: Okay. So the business will be up on a year-over-year basis?
Gregg Branning: Yes.
Christopher D. Manuel - Wells Fargo: Okay. If we could switch gears and I want to specifically zero in on the assumptions you gave us regarding operating cash flow. I think three months ago you anticipated something in that $60 million to $70 million range this year and I think you just revised it today to, if I got it right $37 million to $43 million. So that’s a really big step down 40-ish percent plus. Give us a sense as to what the different elements are within there, obviously some of it, I think there is some adjustments to working capital, D&A obviously hasn’t changed but what some of the other pieces are? And what changes next year, so just working capital we can come on as you go through the components.
Gregg Branning: Yes so the biggest single change obviously is lower earnings. We saw significantly lower earnings here in the quarter as John and I both touched on, very disappointed in the quarter but and that results in lower operating cash flow and we did see a higher working capital component here through the end of the third quarter and the biggest piece of that was inventories. That inventory was driven by the fact that our sales weren’t there and the timing of when you have to build products and expectation of those sales primarily in the ag business as well as down in Brazil and then the last piece is we did take advantage of buying some resin in advance as we exited the third quarter because we saw resin continuing to stay up in the fourth quarter which it so far has done through October. As to the full year, again the biggest impact is going to be just the lower earnings that we are at now and then as we have said before for the most part we would expect working capital to be fairly flat year-over-year. We won’t see the huge benefit that we saw last year and the fact that sector didn’t deliver the earnings that we expected in the quarter, certainly will impact us as well from a full year if you recall last quarter when we talked about our full year continuing operations cash flow that was -- we were expecting a benefit out of Scepter as well with the lower earnings that impacted us also. Now going into next year, next year we would expect this year to be an anomaly. We would expect our cash flow to be much better next year as our earnings rebound and we don’t have the strange anomaly that we saw here in the third quarter with Scepter.
Christopher D. Manuel - Wells Fargo: Okay. So if we can zero in then on Scepter for a moment and just actually before we do, if I can go back to, just flush on a couple of component there what you talked about. So I look at this $20 million to $30 million differential in operating cash flow, sounds like the bulk of it is from lower earnings and then working capital at least in the quarter looked like it was up about $10 million. Presumably if you are trawling back on production here presently that’s going to have a negative variance to this quarter’s earnings as you continue to burn through some of that in addition to what you have done. So that will effect kind of not recur next year or reverse itself out. Am I thinking about that the correct way that maybe end with -- or will you work through all that by the end of the year, I guess that’s my question, the working capital issue, the $10 million or so I think that you were -- had consumed this year or this quarter does that -- well I looked at the wrong number, I apologize -- but the working capital I guess for the full year I was forecasting $10 million of a use, does that reverse itself out through the balance of the year, given what's you're seeing in Scepter today.
John C. Orr: Yeah I would say and that wasn’t just Scepter, I mean that’s all of our business. I would say that right now our plan is to have most of that reverse out by the end of the year. We’ve got plans in place to drive our inventory down. We certainly don’t expect to do a resin buy at the end of the fourth quarter. But that being said we will always take a hard look at what resin pricing is doing, if we can buy it cheaper at the end of the quarter and then it's expected to be the next quarter we will make that play every time. But as a whole our inventories we do expect to bring them down by the fourth quarter and we typically see a good Q4 with respect to working capital generation.
Christopher D. Manuel - Wells Fargo: Okay, next question regarding Scepter. If memory serves it was about $24 million - $25 million of EBITDA and I think you've previously indicated the business didn't have a lot [inaudible] that were different elements to it. So and that kind of implies your $6ish million or so a quarter of EBITDA for the business. So first could you help us with, now you've got everything in place and all the first accounting chunks done, the breakout between EBIT -- EBITDA and then maybe what it did contribute in the quarter.
John C. Orr: So what I would say is that first of all the EBITDA that we've been talk about $23.5 million not $25 million. There is some seasonality. Within that seasonality you typically see a stronger first half of the year than the back half of the year. The third quarter ended up being weaker than expected as we touched down. So we actually saw a weaker third quarter than any of us have ever expected.
Gregg Branning: Nor did they.
John C. Orr: Nor did they, I think next year typically what you would see is in the first half of the year, probably around 60% of their sales, 55% to 60% of sales are typically 1H and with the balance being the second half from the standpoint of the depreciation and -- sorry if I could stop this I would, from the standpoint of the depreciation and amortization preceptor we did see a step up under the purchase accounting. That step up was roughly $2.3 million, plus they had their existing depreciation that was just over a $1 million, I believe was a $1.4 million. So you’re at 3.7 total D&A for that business.
Gregg Branning: In the quarter.
John C. Orr: In the quarter, that's correct.
Christopher D. Manuel - Wells Fargo: Okay. The $2 million of synergies you talked about, that's probably where I came up with the number, I added the $23.5 million and you had the $2 million of synergy coming. Remind us of the timing of that. My understanding is those were coming within the first 12 months, correct.
Gregg Branning: Yeah this is Gregg, again. We expect to have the full $2 million by the end of the first 12 months. So it's not necessarily $2 million in this year. So we've started to see some of that. You might recall that in our last earnings call we talked about we were starting to see some of that with some of the terms that we have for resin. Obviously with their lower sales we didn't achieve as much as we've would have expected but then you’ve also got the whole aspect of inventory turns, as those inventory have to turn before you start seeing some of that saving. So we'll see most of that beginning in 2015 and we are on track for it.
John C. Orr: Chris is this John. Also with respect to those synergies, a good portion of it we'll be doing some cross selling between the Scepter businesses and our other businesses. And that's going to -- that's taking a little while to set up but that's why we felt like it would be one year effort to get to that point. And what we're hoping to do is actually beat that number. We just don't know what it is.
Christopher D. Manuel - Wells Fargo: That's right, and look you're not the first buyer or seller that bought or sold a property and had projections be not what they were supposed to be. So look I understand that things adjust. I guess really what I'm going is what from the inventory standpoint it sounds like through this fourth quarter you'll get inventories back to where they want to be. And then we’ll really see what the run rate is as we're into '15, is that fair?
Gregg Branning: Yes.
John C. Orr: Yeah, absolutely.
Christopher D. Manuel - Wells Fargo: Can we talk a little bit, if we can back up to talk a little bit about the rest of your Material Handling business, you’ve got and you specifically cited some automotive business in Brazil? My understanding was the bulk of what your business was in Latin America was centered around crates for beverage, principally beer bottles and things of that nature as well as some Ag business for seed boxes and such. So I can see where some pricing is down, which I guess would portend to potentially lower volumes in ’15, recognizing a cycle for selling and planting. But you [inaudible] some auto business in Brazil. Can you give us a sense as to how big the business is there for that and…?
John C. Orr: Yes originally -- this is John, originally when we started our operation in Brazil, of course we didn’t have the crate business at that time. It was primarily set up to -- we were asked actually by U.S. customers to be able to make the same kind of containers around the automotive industry and the agricultural industry that we make here for their use in Brazil. So we do have automotive containers that we make for a lot of different automotive companies in Brazil. So the actual size of it it’s probably 15% of that total business down there. Gregg, maybe you can…
Gregg Branning: Yes, I can’t tell offhand what the percentage but I think the key is if you go back to the slides in the presentation, Brazil as a whole just was industrial production, GDP, corn price, soybean price, everything is down on the auto industry, specifically both for Brazil as well for here in the U.S. in material handling. That really is then what happens as they launch vehicle platforms, new vehicles that’s when we sell our boxes. Given that automotive was down as much as it was in Brazil anywhere from 20% to 30% depending on what you read, and we follow, that clearly has impacted new vehicle introductions which has impacted our ability to sell those boxes there. But it’s across the board in Brazil, every car end markets are down simply because Brazil is down as a whole.
Christopher D. Manuel - Wells Fargo: Okay. What are you seeing out of the crate business there? I mean when we look at glass volumes or things of that nature, they are stabilizing in fact gotten positive. Are you seeing similar trends in that piece of the business, the bulk of your business there?
Gregg Branning: Yeah, it’s pretty stable, pretty steady, I think on the last call we talked about the introduction of a new 23 bottle crate versus the 24 bottle crate that the major beer producer down there has done. They had a few issues with introduction of that. They have had their own line fill issues I think they are getting that straightened out. So we are still pretty bullish about 2015 around the crate business and there is an opportunity for us there around plastic pallets to replace wood pallets under those crates. We’re working on that.
Christopher D. Manuel - Wells Fargo: Okay, last question if I could just maybe a quick thought regarding the legal settlement that you talked about. Is this -- this is one-time event, is it done or is there an ongoing element, give us some color or background there so we can kind of make our own assumptions as to what cash flows can be going forward related to this?
Gregg Branning: Yes it’s clearly a one -- this is Gregg again, Chris, it’s clearly a one-time event. This is a case where the other party -- it’s attorney’s fees that are already determined from when the case took place, the case has been decided. So you won’t see further cost being incurred here relative to the award. We clearly believe we owe nothing and we have pursued that in appeal of the split, of the judgment and we have also filed suits in the New York court against the other party which is SAS. SAS U.S. is in financial distress and that in turn caused us to have to book a reserve that we hope and expect to never pay as we continue down the course of litigation. But all of that being said from a pure technical accounting standpoint we are required to book that reserve from the standpoint of the cash flow because that’s sitting on the balance sheet as a liability. That charge gets offset on the P&L so it’s neutral from a cash flow perspective.
Christopher D. Manuel - Wells Fargo: Okay, so there would be -- sounds like and clearly even though if you don’t think you are going to have to end paying some of this out you have lost -- is there a royalty or something you will have to payout as you manufacture?
John C. Orr: No, obviously getting into the technical aspects of this, they, SAS had sold to a different company a co-exclusive license to this product. That company was then bought by Orvis. SAS later sold to us an exclusive license to that. Clearly, they fraudulently sold…
Gregg Branning: Yeah, it's fraud.
John C. Orr: But we both have licenses and that doesn’t cause us to have to pay royalty, doesn't cause them to have to pay royalty. This is simply a one-time attorney’s fee that we ultimately believe SAS -- the court in our appeal of the split will ultimately find against SAS in its entirety. But at the same time we filed lawsuit against SAS Netherlands which [guaranteed] of the license.
Christopher D. Manuel - Wells Fargo: Okay, that's helpful. Thank you, good luck.
John C. Orr: Sure, thanks.
Operator: Our next question comes from the line of Brian Sponheimer with Gabelli & Company. Go ahead with your question please.
Brian Sponheimer - Gabelli & Company: Hi, guys. Thanks for allowing me in here. Just trying to get a handle on the actual numbers here, what were Scepter sales in the quarter versus a year ago and then or if you wanted just to say what was Material Handling ex-Scepter in the quarter?
John C. Orr: Material handling ex-Scepter in the quarter was basically flat year-over-year. Scepter was just over $21 million. So if you go to Material Handling by themselves last year they were $89.9 million. That's basically exactly what they were this year with ex-Scepter.
Brian Sponheimer - Gabelli & Company: Okay and if I'm just thinking about Scepter, now there maybe a little bit more seasonality than originally thought, should I also be taking about whether playing a role and potentially clearing out any of the Scepter’s inventory in the channel as consumer buy snow blowers or the like if we get a [inaudible].
Gregg Branning: Yeah, Brian, this is Gregg. I would say that certainly your winter season doesn't drive near as much sales as your summer season does. In fact a smaller piece of the country and so I wouldn't necessarily expect a whole lot of inventory to be driven out there. That being said we know that the -- who they sell to, which is primarily the big box retailers. As they did take their inventory -- those big box retailers did take their inventory down in the third quarter, so they are at a lower inventory level than they have been in the past. If you get bad weather, again I don't think it’s -- in the winter I don't think it's going to drive a significant amount of additional sales. It could drive some in the five gallon container as people need that to fill up generators either with gas or kerosene. But it’s mostly going to come about next year in the regular season as those retailers look to restock those warehouses where they’ve taken it down. The other thing there could always be a plus but again we're getting to -- basically outside of the season is hurricanes. They do have hurricanes, [dependent DC] and we are the only manufacturer of that product by we can fulfill those DC's within a two day time frame which can drive multiple million dollars of sales for us. And so that in of itself could have a big impact in the future as well, positive impact.
Brian Sponheimer - Gabelli & Company: Okay, now I guess looking into 2015, or just kind of give me a sense we’ve seen crude down and along with other energy prices which should help you from an input cost perspective on gasoline and affecting resin. What generally the time frame for that to work through the system where today $82 oil is -- affects maybe resin in April. Is that the best way to think about it?
John C. Orr:  This is John. Maybe not quite that far out, Brian. But it's usually a 30 to 60 day lag on pricing. We actually have seen some higher resin prices even though oil has gone down. The reason for that is that the producers and there is four or five producers, they've had some extraordinary additional maintenance turns. They had a fire at one refinery that shut it down. So rule of supply and demand has also kicked in a little bit as well but on par if with the reduction that we've seen in oil and natural gas, we should start to see that in the next 60 days.
Brian Sponheimer - Gabelli & Company: Okay and just talking to some of these freight costs that you saw in distribution, should I be thinking about this or maybe the products that you're selling a little bit further down the food chain for transport companies given the price, where it's not pharmaceuticals, it's not energy. So you are dealing more with driver shortages than maybe some other industries?
Alex Williamson: This is Alex. Most of our shipments were usually LTL or small package and there have been recent cost increases in those channels. So we’ve actively followed up on that and we are in the process of implementing price increases and have already seen the benefits of those so far this quarter.
Brian Sponheimer - Gabelli & Company: All right, thank you very much.
Operator: Our next question comes from the line of Christopher Butler with Sidoti and Company. Go ahead with your question please.
Christopher Butler - Sidoti and Company: Hi, good morning everyone.
John C. Orr: Good morning.
Christopher Butler - Sidoti and Company: Sticking with the freight, especially here for the fourth quarter with harvest, is it safe to assume that the costs aren’t going to improve here in the near-term but it sounds like you might be able to reclaim a little bit on the pricing side?
Gregg Branning: Hi, Chris, this is Gregg. What I would tell you is that we are working hard on the freight. We have done a number of things we have rebid a lot of it and we’ve added some additional freight companies to our logistics, which has helped us to offset what would have otherwise been a higher price increase or cost increase. And then as Alex talked about for both his business as well as we continue to look at putting price increases in to offset that. So both of those should help us in the fourth quarter relative to what we saw in the third quarter.
Christopher Butler - Sidoti and Company: And if we are looking at adjusted income from the material handling business down about $4 million year-over-year in the third quarter could you break that out for ag versus South America versus any freight cost that you might have found in that business?
Gregg Branning: Yes, we don’t break it out between North America and South America per se. What I would say is that what we did see was between the mix and the volume impact for both North America and South America that cost us roughly $4.7 million and then freight between our two segments, distribution and material handling costs us just under a $1 million.
Christopher Butler - Sidoti and Company: And looking SG&A now that you have Scepter in the fold and adjusting for about $9 million of unusual cost, is that $33 million, $34 million on a quarterly basis something that we should be forecasting going forward?
Gregg Branning: Yeah, our SG&A should be consistent as a percentage of sales going forward to what it’s been in the past obviously with the higher sales of Scepter now being included.
Christopher Butler - Sidoti and Company: And just -- away I know there has been a lot going on with Scepter and Lawn and Garden but as you look at your portfolio over the next couple of years, are there additional changes necessary either on acquisitions side or businesses that no longer make sense?
John C. Orr: So this is John. I think we have got all the businesses that make sense. Certainly as we look to restructure the company into two higher margin segments we may be looking at some additional bolt-on growth, both in distribution and in material handling. Again it goes back to our balanced approach as to capital allocation. We want to make sure that we take care of shareholders as well as grow the business. We think doing that -- that will improve shareholder value. So nothing that, I think we are pretty well set with what we have at this point.
Christopher Butler - Sidoti and Company: Thank you for your time.
John C. Orr: Thank you.
Operator: Our next question comes from the line of Alex Yaggy with Cortina Asset Management. Go ahead with your question please.
Alexander E. Yaggy - Cortina Asset Management: Good morning, everyone. Thanks for taking my questions.
John C. Orr: Good morning.
Alexander E. Yaggy - Cortina Asset Management: Just had a couple of questions. First I think earlier you mentioned that you have about 55 or so new products and that’s a bit of an initiative for the company. Can you give us an update on some of the new products that you have been working on recently? If I recall correctly you have material handling product for a U.S. food maker that had some promise and if there are any updates on that and if you could elaborate on those 57 new products how of those are kind of replacement and small upgrades to existing products versus new additional business that is incrementally additive to what you currently have?
John C. Orr: Alex, this is John. Before I let Joel kind of talk about some of those products around the food side of business, of the 55, these are not line additions, color changes or anything like that. These are actually new products. They are both in our distribution business and in our material handling business. We're very bullish on the process that we have for developing products. We think that we got a lot of products that will be also introduced in 2015 that will be accretive for us. So we don't look at things at just a small size change or a color change or something like that as a new product. I’ll Joel to talk a little bit about some of the work that they are doing in material handling around the food side of the business.
Joel Grant: Good morning, Alex.
Alexander E. Yaggy - Cortina Asset Management: Good morning.
Joel Grant: The focus on material handling side in terms of innovation is really around food, beverage, agricultural markets and primarily around the design of large containers to replace, seal and wood boxes and corrugated boxes and we continue that. One of the biggest new product launches we have this year is the Intrepid, which is an all plastic IBC fully collapsible. It's in the 48-40 footprint which fits the food, food processing general distribution footprint. We're using that to develop applications in meat and poultry area. We're also using it right now in the sugar, refined sugar as a storage container. So those are a couple of things we're working on. We're also working on the global IBC which again would be a bag in a box type concept all plastic collapsible but in a footprint size and footprint that would optimize the use of the inside of the seatainer. Many customers, for example the tomato paste industry we talked about earlier, every year the amount of paste that’s getting exported goes up. In fact went up about 23% this year and like 2.5 million metric tons of tomato paste are being exported. We are working closely with one of the major companies that has a presence here and in Europe on this -- container, that we will apply to tomato paste but also many other types of food processing that get shipped around the world globally. We also continue to work on a container for the cheese in plastic, replacing wood containers optimally and we think that has some very good legs as well.
Alexander E. Yaggy - Cortina Asset Management:  Could you just kind of give an indication of when we might expect to see some of those flow through to your actual revenues? Is that three months or is that two year process…?
Joel Grant:  I would say it's not two years. It’s certainly in the three to six months. We have a large number of trials that are under way in meat and in poultry and food additives that we think once these trials are a success we'll begin to see those orders hit the book. It is -- the food market is a very conservative market on changing and so they take your time and test things to the nth degree. But we're very impressed with the level of activity we have going on.
Alexander E. Yaggy - Cortina Asset Management:  Okay, good thank you. And if I could just go back to some of the questions that Mr. Gabelli had earlier on Lawn and Garden, it seems like a fairly extended sale process. It's been four months since you announced it and now you're talking about up to the middle of next year in terms of when the sale might actually be completed. Are there certain milestones that, that division has to complete in order for the bids to be appropriate, are you hoping for some kind of improvement in their operations so you can get a better price or do you need further integration of all the cost cutting that’s occurred over there? Can you give us a sense of what milestones are important and perhaps why it is taking so long?
Gregg Branning: Hey, Alex, this is Gregg. There aren’t milestones that have to take place. When we say mid-2015 the real reason we say that is because under the discontinued operations requirement, under SEC and U.S. GAAP requirement, you have got one year to sell it. So that's why we really said, why we continue to say mid-2015. I would say that the process is moving along nicely. As John touched on earlier the first round of interested buyers has gone well. We’ve had all the management presentation and all the plant tours. We are now going to down select that yet again for a much smaller group. The data rooms are open and people are in the data rooms going through everything. We just expect there is probably going to be at least 60 to 90 days of full scale due diligence and contract negotiations with them so that we can ultimately settle on one buyer and close it as quickly as possible. But the key on that mid-2015 is really the accounting guidance saying this, we’ve got a year to make it happen.
Alexander E. Yaggy - Cortina Asset Management: Got it and then just finally on that process. I know you’ve already taken out the working capital, which is fairly hefty for that business. So that will clear up your balance sheet. But is there any -- are there any projected changes to your balance sheet post that I know you have a lot of cash but is there any debt that might go with that business. Kind of what do you think your liquidity might be if you adjust for the cash that you get for that business on the other side of that transaction. And then just secondarily are there any additional costs within your organization that will come out post that sale.
Gregg Branning: Yeah, this is Gregg again. I would say that there is no debt specifically associated with that business. When the cash flow does come in we will continue our balance of the capital allocation in terms of how to use that cash, the best uses within our business. And then lastly any additional cost that would come out would not -- we’ve already captured all of that in our discontinued operations, our corporate office is fairly small and because our businesses are run on a de-centralized model they are fairly self-contained [inaudible].
Alexander E. Yaggy - Cortina Asset Management: Thank you very much.
Gregg Branning: You are welcome.
Operator: Thank you. In the interest of time, we are going to turn the program back over to Ms. Monica Vinay. Go ahead Ms. Vinay.
Monica Vinay: Thank you. We thank all of you for your interest in Myers Industries and your time and participation today. As a reminder a transcript of this call will be available on our website within approximately 24 hours. A replay will immediately be available via webcast or call. Details can be found on the Myers Industries’ website under the Investor Relations tab. Thank you for joining us and have a great day.
Operator: Thank you. This will conclude today’s teleconference. You may disconnect your lines at this time. Have a wonderful day.